Operator: Good day, and welcome to the W.R. Berkley Corporation First Quarter 2018 Earnings Conference Call. Today’s conference call is being recorded. The speakers’ remarks may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words including, without limitation, beliefs, expects or estimates. We caution you that such forward-looking statements should not be regarded as representation by us that the future plans, estimates or expectations contemplated by us will be, in fact, achieved. Please refer to our annual report on Form 10-K for the year ended December 31, 2017, and our other filings made with the SEC for a description of the businesses environment in which we operate and by the important factors that may materially affect our results. W. R. Berkley Corporation is not under any obligation and expressly disclaims any such obligation to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. I would now like to turn the call over to Mr. Rob Berkley. Please go ahead, sir.
Rob Berkley: Brian, thank you very much and good afternoon all and welcome to our first quarter call. Joining me on this end of the phone as in the past is our Executive Chairman, Bill Berkley; and Rich Baio, our Chief Financial Officer. And the agenda for today again the following suite is I’m going to kick it off with a few general comments about the industry, give you a few high level observations about our quarter and then pass it over to Rich, who will be getting into the details of the quarter and then following his comments we will be opening it up for questions for as long as you like within reason. So, inflation from our perspective clearly the topic of the day, I think it is the topic of the day across many industries and the insurance industry is certainly included in that. I think for some it is a moment that people have been speculating or waiting for some extended period of time and it is upon us. Some of the obvious questions are how much, how quickly is it going to get here and how long will it stay. Obviously from our perspective there is – the impact that will come along is with a rising interest rate environment. Other questions for the industry, what is the impact on loss cost is going to be and ultimately reserves and of course as well what is the impact going to be on investment portfolio and investment income. Having said this, we think there are a couple of other questions that one needs to be grappling with when they think about inflation in a higher interest rate environment. One of them clearly is will targeted returns be moving up with a higher benchmark, will people be looking to think about the risk free rate and as a result of that the hurdle or the delta above the risk free rate that they should be achieving in this industry is that moving – going to be moving up as well. And then finally, there is a question around alternative capital, which also has been discussed and considered and speculated about for an extended period of time. Is alternative capital a permanent part of this industry or is it something that is here during a low interest rate environment and when you see interest rates return to a more historic level will alternative capital withdraws as they are more easily able to achieve their targeted returns. All important questions from our part and ultimately we will not have the answers other than through the passage of time, but we think they’re important because the answers are exceptionally leveraged for this industry in particular. Second thought or observation is cycle and at the risk of stating the obvious it is clear from our perspective that there no longer is one cycle. And on one hand, I think that this is widely understood at the same time it seems as though many people both in and outside of the industry speak of the cycle as if it is one across all industries product lines. From our perspective, probably a couple of decades ago, different product lines within the marketplace started to march to the beat more and more of their own drum. You can see that in the difference and what’s going on in the insurance industry and the reinsurance industry and you certainly can see that even within the insurance or reinsurance marketplace the differences between various lines of business. For example, the challenges of property while on the other hand workers’ compensation for the past few years have been very attractive. So you might ask why do we focus on this, why do we think this is relevant? And the answer is we think it is relevant because it brings one to the idea of specialization. It is our view the reason why you’re seeing product lines marching less and less and lock step is because there is greater specialization among skill sets and how capital is deployed. I think this is relevant. I think it is important to bring it to people’s attention because more and more people view the insurance industry as a commodity industry. And without a doubt there are parts of the industry that it certainly lends itself to that type of observation or statement. Having said that from our perspective, there are aspects of this industry where specialization is very much alive and well and quite frankly specialization is the opportunity for an organization such as ours to truly differentiate itself and ultimately bring value to customers and bring value to our owners by generating excellent returns as a result of our skill set. Let me turn to some things that are perhaps a little bit more directly related to the day to day the industry. Reinsurance marketplace, it hasn’t gotten any less painful to talk about or to operate in over the past ninety days. Quite frankly for the life of me after what happened in the third and a bit in the fourth quarter of 2017, I can’t figure out why the property market has – property reinsurance market hasn’t responded more. Some would say I might be one of those people that a lot of it does have to do with alternative capital that is willing to accept a lower return that gets somewhat trapped in the marketplace through the managers that manage that capital in the marketplace and it is just looking to be deployed and again I’m not sure if it has the same focus around risk adjusted return that some of the traditional players have. As far as the casualty market much to my surprise as I think I mentioned in the fourth quarter call it seems to have incrementally more legs than the property market. What that really means is for accounts that have had lousy experience. The reinsurers are assuming to get enough leverage that they can push rates up. I’m hoping that this is the beginning of a gradual building of a groundswell if you like again we will see with time. Switching over to the insurance market, clearly a brighter situation from our perspective, casualty overall still remains quite attractive. Workers comp, which as we’ve discussed in the past, has peaked, but there is still plenty of margin in certainly many territories within that marketplace. Having said that there are parts of the comp market that I think also as we’ve commented in the past that scare the daylights out of me. Florida would be an excellent example of that. Property on the primary or insurance front also a mixed bag or in my notes here I wrote down the word bizarre. I do think it’s absolutely bizarre. For account that were impacted by storms in the third quarter and there were losses, they certainly are seeing rate increases for accounts that we’re not impacted in the third quarter, but our cat-exposed the rate increase that they’re getting is surprisingly modest if even that much. And ironically sometimes non-cat exposed property is getting more of a rate increase than cat-exposed property that wasn’t impacted in the third quarter, so that’s why I guess I wrote my note bizarre. Professional stuff from our perspective right for a change and we’re pleased to see in the quarter there were some early signs that there are pieces of the professional market that are getting some traction. And again quick comments about auto, we are pleased to see that the momentum continues to build there. Pivoting over to our quarter from my perspective, I think from our perspective, I would be defined or is viewed as a solid quarter. I think the fact is that there was a bit of cat activity and the funny thing about cat is everyone defines cat in their own way. If you look at the property losses that we had in the aggregate stemming from what I would define as weather related, it was not insignificant yet in spite of that we still were able to achieve what I would define as a good result to say the least. In addition to that that as far as the top line goes, you saw the 1% growth which was an improvement from what we’ve seen over the past couple of quarters, but I think you need to peel a couple of layers back. And it really goes back to this idea that we grow where the margin is and we shrink where it isn’t unfortunately for my comments earlier reinsurance still remains exceptionally competitive and as a result of that you can see that we’re off considerably. On the other hand, the insurance market, we still find opportunity there. And it’s meaningful and as a result of that the insurance business grew more than 3%. Another quick comment just on the top-line overall, we did achieve a rate increase, but we’re particularly pleased with which is in the neighborhood of 3.5%. This was more of a step than I haven’t anticipated. I was expecting it was going to be between 2% and 3%, but we are – I think this is just evidence that we are pushing for rate and we are finding opportunities to achieve that rate. Again as far as the result go combined ratio, 94.6%, the loss ratio of 61.4%. My boss commented to me I guess he took a note that it was the same in the fourth quarter and asked if we for some reason like that number 61.4%, but Rich assured me that we got there a different way this time than last time and the expense ratio the 33.2% was I thought a good improvement from where we have been and that’s in spite of the fact that we have moved through startups over from holding company expense or impairment expense over into the expense ratio. Balance sheet starting with reserves and again Rich is going to get into the details, but $12 million of positive development, which again I think is an indicator that we continue to take what we would view as a very prudent approach to how we make our initial picks, and over time we tighten them up and we like to air a little bit on the side of caution early on and as things come more into focus we’re willing to tighten that. At this stage, I would like to begin – Rich keep to track of the number of quarters, I don’t know how many quarters, but it’s a lot of quarters of positive development in a row. A couple of other things, the investment portfolio, and again Rich will give you the details on this, but I did want to just fit my hat to our colleagues at Berkley Dean that manage the portfolio. They in spite of the challenges have managed to keep the duration short at three years. They’ve maintained the quality and they’ve maintained the yield. I’m not sure of how they done it, but they’ve done it very well. And as a result of their skill and the skill of some others as well, we’ve benefited by positioning the business. So not only in the quarter was book value up, but we think that we’re very well positioned as we see interest rates continue to move up to optimize. So I will come back here once Rich has done with his comments. Let me hand it over to him and he will take you through the numbers. Thank you.
Rich Baio: Great, thanks, Rob. We reported net income of $166 million for the first quarter of 2018 or $1.30 per share, which is approximately $43 million higher than the prior year, represents an increase of 35%. The improvement over the year ago quarter is primarily attributable to higher underwriting profit and net investment income. In addition, our overall income tax expense decreased significantly due to the reduced U.S. tax rate of 21% versus 35% in the prior year. As you saw from the earnings release, it is more challenging to compare our current results with prior period. This challenge results from tax reform past in December 2017 and accounting rules adopted in 2018 relating to equity securities. If we have followed the accounting rules for equity securities before this change, our pre-tax gains would have been higher by $94 million, which would have resulted in a seven point increase in our annualized pre-tax return on equity. I will explain further some of the details in just a few minutes. Pre-tax underwriting income increased $17 million to $84 million this quarter. Net premiums written increased as Rob mentioned 1.1% to approximately $1.67 billion. The growth was led by the insurance segment, which increased 3.3% to $1.54 billion. We continue to see a competitive market in many areas where our reinsurance segment putting pressure on the rate environment. In particular, the North American assumed property and casualty business continues to shrink. This decision was driven by a marketplace that did not allow for us to achieve our risk adjusted return. Accordingly, overall, the reinsurance premium declined 20% to approximately $122 million. The accident year loss ratio before cat was 61.7% was largely unchanged from the year ago quarter. Cat losses declined from $14 million or 0.9 loss ratio points for the prior year to $7 million this quarter or 0.5 loss ratio points. As many companies have defined cat losses differently I thought it’d be wise to remind you how we define cat losses. We follow PCS identified cat losses which are based on events that cause $25 million or more in direct insured losses to property and affect a significant number of policyholders and insurers. Accordingly we did experience similar to others an increase in non-cat weather related property losses largely attributable to winter freeze, which did not meet the PCS definition as a catastrophe event. We also experienced several large fire losses during the quarter, although do not see this claims activity as a trend. Loss reserves developed favorably by $12 million or 0.8 loss points, compared to the $2 million or 0.2 loss point for the same period last year. You may recall that first quarter 2017 was adversely affected by the change in the Ogden discount rate in the UK for lump-sum bodily injury claims. Accordingly, our reported loss ratio declined one loss ratio point to 61.4 quarter-over-quarter. Expense ratio was relatively flat from the year ago quarter and lower by 0.3% from the consecutive quarter. The current quarter’s expense ratio was favorably impacted by the reduction in commission expense relative to the change in net premiums earned. This reduction was partially offset, as Robert mentioned, by increased compensation expense in the full quarter of expenses for Berkeley One, which was new to add of corporate expenses in fourth quarter 2017. This brings our combined ratio for the first quarter 2018 to 94.6%, compared with 95.7% in the prior year. Investment income increased 17% or $26 million to $175 million. The investment income of the core portfolio increased approximately $13 million led by fixed income and real estate income. Investment funds increased $14 million due to mark-to-market adjustments in real estate funds and new investments that we did not hold in the first quarter of 2017. As anticipated energy fund performance was in line with the prior quarter. We have maintained an average rating of AA- and as Rob alluded to an average duration of three years for fixed maturity securities including cash and cash equivalents. We reported pretax net realized gains and pretax net un-realized gains on equity securities of $48 million. This amount reflects a change in the treatment of fair value movements on equity securities. In prior periods these fair value changes for equity securities were reported in AOCI component of stockholders’ equity. Commencing with the first quarter of 2018 the fair value changes were reflected in the income statement. Accordingly there were two components in the first quarter 2018 pretax gain amount. The first is pretax realized gains from the sale of investment and secondly the change in unrealized gains on equity securities resulting from the adoption of this new accounting pronouncement. The change to unrealized gains on equity securities is not reflected in any prior quarterly results and therefore creates an inconsistency to comparable periods in our income statement. To put some numbers behind the quarterly comparison we realize pretax gains on the sale of investments of $142 million in the first quarter of 2018 and $52 million in the year ago quarter. However, due to the new rules we reflected a reduction in the current quarter’s pretax gain of $94 million for changes in unrealized gains on equity securities. Our after tax unrealized gains reported in stockholders equity declined from $375 million to $35 million. The decline resulted primarily from the addition of the new accounting rules on equity securities which required the transfer of after tax unrealized gains from AOCI to retained earnings. The effective tax rate was 20.6% for the quarter. The total income tax expense reflects the reduction in U.S. statutory tax rate from 35% to 21%. The effective tax rate differs from the U.S. federal income tax rate of 21% primarily because of tax exempt investment income offset by foreign operations of the higher tax. Our return on equity for the quarter on an annualized basis was 12.3% on net income. Book value per share increased $0.32 to $44.85, representing an increase of just under 1%. Due to the short duration of our investment portfolio we’ve not been as affected by the rise in interest rate as perhaps others and continue to see growth in book value per share. We repurchased 101,000 shares in the quarter at an average price per share of $67.31. Thank you, Rob.
Rob Berkley: Rich, thank you very much. And obviously in addition to your usual comments little bit of complexity brought to us complements the FASB in the quarter. So Brian at this time if we could please is open it up for questions.
Operator: My pleasure sir. [Operator Instructions] And our first question will come from the line of Amit Kumar with Buckingham Research. Your line is now open.
Amit Kumar: Thanks and good evening.
Rob Berkley: Hello Amit. Thanks for calling in.
Amit Kumar: Yes two questions. The first question is for you Rob, you broadly covered the trends in the marketplace. I think what would be helpful is it would be possible to maybe just go a bit deeper into some of the pricing trends you might have seen in the insurance sub segments.
Rob Berkley: Yes honestly I think we try and steer clear of getting into granular detail as to where we see rates going up. I try to give you a broad sense so for example, workers’ compensation, I think, is generally speaking widely understood that state rating bureaus and the NCCI are moving rates down. And that’s impacting the product line pretty much across the Board. On the other, I think, commercial auto would be an example of where rates are going up in general. I don’t think it makes a lot of sense to start trying to get into the weighs much beyond that, but…
Amit Kumar: I guess what I was trying to understand was obviously there’s a lot of debate on the trajectory of rates and I guess the slope of the rate change. And that’s what I was trying to understand if you look at the trajectory in Q1 versus Q4. If I was to take the trajectory and overlay that with the comment you guys made in the letter to shareholders. Is there a greater urgency based on the change in the tenure, or is this a much longer term process? I guess that’s what trying to – always trying to better ascertain.
Rob Berkley: I think the answer is that we are comfortable with our loss picks. And we are looking to make sure that we achieve the required rate to support those loss picks. And to the extent there are certain parts of the book that will bear additional rates and we will be pursuing that. So there is not a policy that we will write a treaty that we write where we think it is not going to achieve our loss picks, but to the extent that there are parts of the market that will bear more we’re going to try and take advantage of that. I think that all of a sudden the tenure pops up and is floating with 3% and all of a sudden we go down to the boiler room and try and crank up the rates. Now it doesn’t work like that, at least it doesn’t work like that here. Do I and more importantly my colleagues have a view as to where inflation is growing, where loss cost is going and what our experience has been? And when we put that all into the sausage maker, what kind of rate do we need? Yes we have a view on that. In addition to that to the extent that the market will bear more than what even we think we technically need or our technical rate, then we will be looking to take advantage of that.
Amit Kumar: Got it. That’s helpful. The only other question I have is you referenced NCCI.
Rob Berkley: Yes.
Amit Kumar: NCCI is now recommending pricing decreases coupled with the tax reform. In fact they’re making – they are recommending different rate filings in different states which factors in the benefits on the tax rates. I was trying to better understand you have a combination of NCCI pushing for rate decreases coupled with an industry already probably under competitive and pricing pressure versus the past. I mean how should we think this thing will play out for the industry over the next few quarters?
Rob Berkley: So my answer Amit to that question would be it is still a cyclical industry. And from our perspective the pendulum tends to swing back and forth in workers’ compensation as much as any part of this marketplace. There are many parts of the comp market where we think that there is healthy margins. We think we understand the margins that are available and depending on where the market is we will be opening the spigot or closing the spigot. So NCCI, they have a job to do their charge with making rates for several of the states and we understand that and we respect that. And we take the data that they provide the industry and other data that we have access to as well as our own and then we make judgments. So as I try to touch it I wasn’t clear. Clearly comp rates have peaked, but there are many markets within the broader comp market that we believe still offer attractive opportunities. How long those will last, it’s hard to say.
Amit Kumar: Clear.
Rob Berkley: But we do not see it’s falling off a cliff. I think that you will – there is an opportunity that will certainly be measured in quarters.
Amit Kumar: Yes, okay. That’s actually a good point. I will stop here. Thanks for the answers and good luck in the future.
Rob Berkley: Thank you for the questions.
Operator: Thank you. And our next question will come from a line of Arash Soleimani with KBW. Your line is now open.
Arash Soleimani: Hello good afternoon.
Bill Berkley: Good afternoon.
Arash Soleimani: Sorry about that.
Bill Berkley: No problem.
Arash Soleimani: So just first question is $25 million a quarter still the right run rate for 2018 on the real life gains?
Rob Berkley: I think that that’s a reasonable way to think about it.
Arash Soleimani: Okay.
Rob Berkley: Obviously we’ve discussed in the past it can be lumpy. And we have lots of things in the hopper or the pipeline, but from our perspective we think that that is still a reasonable size holder.
Arash Soleimani: Okay. And then maybe just follow-up on that for the Rich, the performance fees associated with the games which line items do those show up in and do they impact the segments or just corporate?
Rich Baio: It just impacts cooperate. So when we were at one point reporting operating earnings you may recall that we had adjusted for those net performance compensation related item and now that we don’t support operating earnings because we’re managing on a total return basis. We wanted to make certain that the Street was still calculating things factoring that in. So you’ll see there’s $4 million associated with that.
Arash Soleimani: Okay. So just corporate there, no segment, okay. And the other question I had, so if you – I mean if you factor in the 70 basis points of non-cat weather – I guess to starting there, what was non-cat weather last year was 70 basis point consisting year-over-year. Was it higher this quarter than it was more than 70?
Rob Berkley: Its about the same.
Arash Soleimani: Its about the same, okay. And the 3.5% rate increase, you mentioned where was not in the book?
Rich Baio: It was in different pockets of the book. And again we don’t generally get into the details of where we’re getting rate by product line or by operating units. But I would tell you that, if you think back to some of the comments I made about where there are opportunities in the marketplace. That’s a pretty good indicator as to where we’re seeing rate.
Arash Soleimani: Okay. Well, I guess that was asking about 3.5% on average across a certain…
Rob Berkley: That was for the group overall.
Arash Soleimani: Okay. Across both segments consolidated you’re saying 3.5%.
Rob Berkley: Correct.
Arash Soleimani: Okay, okay. And maybe this is a follow-up to Amit’s question of it. But on the rate increases, I mean did you view those as sustainable? Do you think they’ll lose some steam throughout the year?
Rob Berkley: I think that sometimes people get a little bit hung up on a 90-day period, just because they have a calendar call. I think at this stage, we’re looking for rate in many process of the business. And our expectation is that it’s going to sort of flow between 2% and 4% if I were to speculate.
Arash Soleimani: Okay, perfect. Thanks very much for the answers.
Rob Berkley: Thank you.
Operator: Thank you. And our next question will come from the line of Kai Pan with Morgan Stanley. Your line is now open.
Kai Pan: Thank you and good afternoon.
Rob Berkley: Hi, Kai Pan.
Kai Pan: My first question is on the core margin, underlying margin, if you would take out the cash that’s what reserve releases, looks like is a flattish year-over-year in term underlying core combined ratio. Given the pricing environment do you think it get enough pricing to offset the loss cost rent that will be able to maintain or improve the margin going forward?
Rob Berkley: The answer is we expect that the margin should improve a bit from here. I know that it’s easier to calculate when you start trying to use rate increases, but I would tell you that the bigger opportunity for us is some of the adjustments that we’re actually making to the portfolio, overall certain classes of business that we are deemphasizing other parts of the business that we are expanding. And that on its own I think will have a meaningful impact on the financial results. And what we’re able to do on rate, I think will be helpful but that is secondary to the pivoting of the portfolio. And one of the plus is of our organization and you’ve heard us talked about it in the past probably forever my father is certainly talked about in the past as well. And that is because of our decentralized structure we’re able to be particularly nimble and take advantage of opportunities and actually get visibility into business at a very granular level and that’s helpful on those levels.
Kai Pan: That’s great. I think you mentioned, but sort of one of competitive advantage, W. R. Berkley has been the decentralized structure. I’m wondering like because when the company as a sort of like many years ago when you have a several start of companies and now you have more than 50. I just wondered, are you coming to the point you have to centralize somehow like in terms of infrastructure or like or it becoming unmanageable.
Rob Berkley: Well. I think we – certainly our view that it’s not unmanageable, hopefully it’s your view as well. And as far as opportunity for efficiencies that that is something that we as an organization, pay close attention to. We’re very sensitive to on one hand ensuring that what looks good on a whiteboard and the opportunity to combine or centralize like other carriers do that may have value. At the same time, we do not want that to overshadow quite frankly our ability to be local and to be responsive to the marketplace and for the people that are close to the distribution and the customer to have authority. So it is certainly something that we have been looking at we continue to actively look at. But I don’t think that you’re going to see us overnight, turn into a model that you may see a typical national carrier, operate with. At the same time we are conscious of the costs and we are willing to consider opportunities for efficiency.
Kai Pan: That’s great. My last question on the investment side and looks like you’ve been guiding $100 million each year realized gains, but you did more than not in a quarter as well as for the last couple of years as well. Maybe question for Bill, you said market condition like you guys feel like more opportunity to harvest the gains and you said so that we would assume more to come.
Bill Berkley: I think that we told people $25 million a quarter, because they wanted a number to put in their model. And we felt comfortable giving that number out with a fairly high degree of conviction. And yes, you’re correct. This is an opportunity for us to harvest some gains include environment and we would expect that will continue for a while. $25 million was a placeholder to let people use models to forecast our results. Yes, we had more than that in the first quarter and I would expect that while we might have more or less in the second quarter or the third quarter. We’ll have more than $100 million by a significant amount. We would expect by the end of the year. But again it’s meant as a placeholder, so people can come up with the forecast, but it would be disappointing if this year we do substantially more.
Kai Pan: Thank you so much and I’ll requeue.
Operator: Thank you. And our next question will come from the line of [indiscernible] with Credit Suisse. Your line is now open.
Unidentified Analyst: Hi, good afternoon, gentlemen.
Rob Berkley: Good afternoon.
Unidentified Analyst: You mentioned or you started out your remarks saying an inflation that’s here. Maybe you can talk about trends or anything you’re seeing in the corporate liability arena. I’m a novice, but there’s been a securities litigation decision by the U.S. Supreme Court to keeps flashing across my screen is just one example.
Rob Berkley: Let’s hear from our perspective when we – some, I don’t know it was a year ago, 18 months ago or nine months ago. But we for some period of time have been beating the drum that we are seeing early evidence that there is inflation coming out of the legal system in the rulings or the awards. And we are just seeing inflation quite frankly and traffic – a little bit of a spike of severity and maybe a frequency if you will severity as well. So we are paying close attention to that. And obviously on the other front, we all understand what’s going on with just general economic inflation and there is an impact on the industry and the cost of selling claims in the future.
Unidentified Analyst: Okay, that’s helpful. And next as a follow-up to the earlier question about the NCCI prescribing rates and I think there’s other states where there are so. Maybe some to NCCI, but there is still kind of something else that’s not free market based. Are you able to approximate what percentage of your book is I guess free market based competition versus these prescribing authorities? And I guess also which – what do you prefer?
Rob Berkley: Well. Basically every state has a rating barrel. So as far as writing primary comp if you will, there is if you will a framework that is prescribe by a rating barrel that works in collaboration if you like will be insurance department and other stakeholders.
Unidentified Analyst: Okay. So there is…
Rob Berkley: I don’t know if you’re referring to occupational accident or something…
Unidentified Analyst: No. You see lot of headlines come out all the time. And some of them talk about they are not being inflation in that line. That’s why they’re even lowering the rates have always been a little confused. I think other people…
Rob Berkley: Yes. I think it’s pretty widely understood that medical inflation has been here and really for an extended period of time. I think as far as comp goes really since the financial crisis, people have been particularly surprised with the trend around frequency. And that is persisted or continued until recently whether it continues going forward. I think there are a lot of questions around that particularly in a tight labor market, when you get people working overtime to get people taking jobs that they’re not as well trained for, oftentimes that’s when people get injured on the job. So we’ll have to see that frequency trends continued.
Unidentified Analyst: Okay. And if I could sneak one last one in on the duration of the investment portfolio on the fixed income side. I look back a number of years and it doesn’t seem like it’s ever been much over that in the threes. I guess what would get you to increase duration, it would just be simply spreads coming out a lot or any changes in place.
Rob Berkley: I think ultimately if you see the 10-year as the benchmark moving up to 4% plus, you’re probably going to see our colleagues actively thinking about it. This is the moment to start looking a little bit longer-term. But the duration of our liabilities is roughly four years. They’ve created a collar for – we’ve created a collar for ourselves that we’re generally speaking. While there is an occasional exception, not going to be more than a year less than that or a year longer than that. But the interest rates have been pretty low for a long time as you seeing rough, as we expect they’re going to move up. You’re going to see of take the position that we’re willing to extend duration.
Unidentified Analyst: Appreciate the insights.
Operator: Thank you. And our next question will come from the line of Jay Cohen, Bank of America Merrill Lynch. Your line is now open.
Jay Cohen: Thanks, Mike actually asked my question. So thank you.
Rob Berkley: Thanks, Jay. Have a good day.
Operator: Thank you. Our next question will come from the line of Ian Gutterman with Balyasny. Your line is now open.
Ian Gutterman: Hi, thank you. I just had a few things to clarify I guess. Rob first when you talk about rates at 3% plus. Is that including exposure? Is there exposure growth on top of that?
Rob Berkley: That’s rate, rate, rate. That’s not price. That’s rate.
Ian Gutterman: Okay.
Rob Berkley: So that is dollar collective for unit of exposure if you like.
Ian Gutterman: That’s right, guys. I just want to make sure. So with exposure which I assume is growing. You’re kind of getting apples to apples call at mid-single digits gross and yet the net premium growth all in is 1%. So are you is retention coming down? Is new business coming down? I’m just sort of wondering what the offset is.
Rob Berkley: It really depends on the part of the business both Rich and I commented on the challenges in the reinsurance segment for example.
Ian Gutterman: Right.
Rob Berkley: I think the overall segment was down 22 – 220%. I think the domestic 3D reinsurance operation is down more than 40% in the quarter. So we have 53 operating units, some are growing, some are shrinking at any moment in time. Some are gaining rate, some are quite frankly willing to give up rate. So there are a lot of moving pieces. Overall I would tell you that between what we’re doing with the portfolio for as repositioning it shedding some business building at other areas and achieving overall rates. From our perspective, our math both at a micro level as well as a macro level we – our margin is improving.
Ian Gutterman: For sure, for sure, okay. So moving on just to get back to reinsurance just I mean I understand the challenges there and shrinking makes a lot of sense. I’m just wondering as far as the numbers in the quarter you triple 107 combined with a very minimal amount of cats. I know you don’t like to talk about reserve development by segment until the queue, but if that can answer this way. Is it reasonable to think there is maybe five or ten points of adverse development or something maybe a little bit of a larger than normal and that’s why we’re seeing that combined ratio there.
Bill Berkley: I think by the best thing to do is of course we just don’t really talk about reserve development by the segment. And if you want to give Karen a call off line and she can try and give you a little bit more color, but for the most part, we try not to sort of getting to that level of weeds or detail on the call.
Ian Gutterman: I understood, okay. Fair enough, I thought I’d try. The expense ratio, so I just want to make I – as you said I expected the Berkeley One expenses to move into the insurance line this quarter. I guess what threw me and maybe my math is wrong, because I was doing a quickly. But it seem like you are an allocated expenses actually went up about $10 million. I guess I thought they would have been flat to down with the Berkeley One coming out. Is there something else in there this quarter?
Bill Berkley: The un allocated expenses or do you mean the corporate expenses?
Rich Baio: The corporate expenses?
Ian Gutterman: Yes, the corporate expense not in combined ratio.
Bill Berkley: It was down compared to the fourth quarter by about $4 million.
Rich Baio: Yes, $4.5 million, it was down from the fourth quarter.
Ian Gutterman: Okay.
Rich Baio: I think one of the trickiest things with some of these numbers is the way we presented in the release. We’re showing first quarter versus first quarter, which – it’s is not – that’s not relevant, it is relevant, but some of the things we probably should give you a reminder is with the fourth quarter look like as well.
Ian Gutterman: Fair enough, fair enough. And then I think just last summer numbers do you have the pay 10-D?
Rich Baio: Pay loss ratio.
Ian Gutterman: Yes, the pay loss ratio, yes.
Rich Baio: It’s 58.8%.
Rob Berkley: And that’s up a little bit, but 3 points or so and a lot of that quite frankly had to do with claims stemming from the third quarter in particular, as well as other property claims. For us just to – since you gave me the wind I’m going to take it. For us, the claims are – nobody likes claims at the same time from our perspective, it creates a great opportunity and we go out of our way, our colleagues in the famous areas or departments go out of their way to try and get people their money in a timely way. So we’re really pushed that up, certainly some claims from the third quarter, but also some of the claims that occurred during the first quarter associated with some of the cats and some of the what I – as Rich defined the non-cat weather related property losses.
Ian Gutterman: ` Got it. And then if I can ask just one broader question that I don’t think came up yet, it was since the last call, we’ve seen sort of another wave of M&A in the sector. I was just wondering if you had maybe thoughts you’d like to share or just observations about, what it means and are we in for another wave and how does that affect Berkeley either possibly, negatively or neutral.
Rob Berkley: Well I’ll give you my two sense and then I’ll hand it over to my boss. My two sense is that there’s been a fair amount of consolidation. I think there are parts of the insurance marketplace that are viewed as particularly attractive. And some of those more attractive areas, there’s less and less real estate available if you like. And we’ll have to see what unfolds, but from our perspective consolidation creates opportunity for us as an organization not just to attract talent, but also to attract relationships and insured, because our ability to provide predictability, continuity and consistency to the marketplace is perhaps very meaningful, even more meaningful and other organizations are disrupted or distracted by internal activity.
Bill Berkley: I think that – I would add that quality and culture really determine an insurance company success, all things being equal that you have the financial capacity to meet your obligations. Just as we were more than happy to pair claims, as rapidly as we were reasonably able to, because we thought that’s why people buy insurance. We wouldn’t want to do anything that would have an adverse impact on the culture of the quality of our enterprise. And while we look at many opportunities, it’s hard to find things that we think would be a good and useful way to spend our capital that would approach the value of returning it to our shareholders. There’s lots of things in the marketplace. There are many companies that are out there for ways to find new homes. And we look at most of them. And it’s just hard to find things, we think are additive and create value for our shareholders.
Ian Gutterman: Got it. Do you have any – do you view that as coincidence or not that, we seen a pick up an offshore sales since the tax law past.
Bill Berkley: I think that pre-tax reform, post-tax reform, there are some businesses that are trying to look long and hard in the mirror. And evaluate what is their business model. What is their offering? What is their value added. What is the differentiator? I think there are some businesses that were formed and set out to be in one part of the market that got tough and they thought it would just be easy to get involved in another part of the market. And I think it’s proven to be disappointing and frustrating for them that may be not quite so easy. And as a result of not being able to find a greener pasture, I think they’re being forced to grapple with what should their future be.
Ian Gutterman: Understood. Thank you for the time.
Rob Berkley: Thank you.
Operator: Thank you. [Operator Instructions] And we have a follow-up question coming from the line of Kai Pan with Morgan Stanley. Your line is now open.
Kai Pan: Thank you for the follow-up. There are two of them. Number one is on invested fund return $40 million of the quarter. My understanding is that you have lack that is sort of performance that by quarter. So do you have preliminary indication for the second quarter investment fund returns?
Rob Berkley: We have some visibility into that, but generally speaking we don’t get into a lot of details of – part of that, the piece of the funds that historically is given as a fair amount of volatility would be some of the energy related funds. And again I think that’s sort of flattish from where it’s been or neutral. But again, if you’d like to more detail that suggests that you reach out to Chairman, so he will give you as much color is the law allows.
Kai Pan: Thanks. And lastly just follow-up on Ian’s question in a different sort of direction. Are you reinsurance business, if that’s 10% overall premiums and the combined ratio have been above 100% for the last couple years. So if you step back, would you think the strategic value of the business to overall W. R. Berkley? And do you – have you think – thought about sort of either divesting or scale up that business.
Rob Berkley: Look, we view the reinsurance business no differently than any other part of our business, maybe very clear from our perspective. It is the core activity for us as a group. And we have thought our colleagues that are managing the capital in that part of the business for not sliding down the slippery slope that in our opinion others in the market are. Factor the matter is our expense ratio is probably, I don’t know 6 to 8 points above some of the mid-size competitors and probably 10 points above or more than some of the large competitors. When the market conditions shift change in proof from where they are today, you will see this business scale up as our colleagues see that there’s an opportunity to deploy capital. Fundamentally, we believe long-term in the reinsurance business, we do not view it the same way some of our competitors do. We have no interest in just being stupid capital that gets arbitrage at a convenience received. We have a great deal of interest in being partners with those that value us beyond just capacity. So they hopefully a fine point for you, we are committed to the business. We are frustrated, all of us as a teen collectively. At the same time, we believe at some point, the market will come above. There certainly are parts of the business, that it’s questionable what its future will be, such as property tax. But that is a part of the market that we participate in a very selective manner in particular. Does that answer your question?
Kai Pan: Thank you so much for your thoughts.
Rob Berkley: Thank you.
Operator: Thank you and we have a follow-up question coming from the line of Arash Soleimani with KBW. Your line is now open.
Arash Soleimani: Thanks. I just wanted to follow-up on Berkeley One and see. Is any more detail you can provide there in terms of the continued rollout. I know there were two states, I think you mentioned last time of your planning.
Rob Berkley: Yeah, at this stage we’re in three states and we expect that we are going to be in a – our expectation, our plan is that we will be in another eight states by the end of the year. The reality is we can run as fast as we like, but we can only make insurance departments moving fast as they want to move. So we will be prepared, it is a matter of whether the insurance departments move at what type of pace. But our colleagues that are running that part of the business are successfully managing the heavy left of building this platform out. And I think our building healthy and constructive relationships with the insurance departments. And again, I don’t know if it will be eight or not, but it will be considerably more than the three that we’re currently in.
Arash Soleimani: Thanks. And Rich, did you say the expense ratio uptick from Berkeley One was fully offset by the commission expense reduction.
Rich Baio: Yes.
Arash Soleimani: Thanks. And can you remind me what drove the commission’s reduction again.
Rich Baio: Part of it is with regards to the business mix that Rob was alluding to early on.
Arash Soleimani: Okay. All right, perfect. Thanks very much for taking the follow-up.
Rob Berkley: Sure.
Operator: Thank you. And I’m showing no further questions via the phone lines. So now I’d like to hand the call back over to Mr. Rob Berkley for some closing comments or remarks.
Rob Berkley: Thank you, Brian and thank you all for your time today. Again, from our perspective, very solid quarter, I think some of the news that you’re hearing from others would suggest that our approach to managing volatility particularly around the property lines are able to demonstrate that again. Looking forward, we see quite a bit of opportunity, obviously we can’t control the market, but we can control what we do and many of the parts of the market that we have a meaningful presence and we think are providing significant opportunity. The growth that you saw in the insurance segment, quite frankly is what we have alluded to in the fourth quarter and I think there’s a better than average chance as we make our way through 2018, there will be more growth coming out of the insurance segment. And on the other hand, the reinsurance market, which is at least parts of it showing signs of bottoming out and maybe some green shoots we remain with a dry powder ready to work with Stevens when the opportunities present themselves. So again thank you for your time and we will talk to you in 90 days.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program and we may all disconnect. Everybody have a wonderful day.